Executive : Wendy Crites Wacker- Director of Corporate Communications Brian Hutchison - Chairman & CEO Tom Rose, Executive Vice President & Chief Operations Officer Roger Rose, Executive Vice President & Chief Commercial Officer
Analyst: Bill Plovanic - Canaccord Genuity Shawn Bevac - Susquehanna Financial Group Matt Dolan - Roth Capital Partners Jayson Bedford - Raymond James & Associates Ray Myers - The Benchmark Company
Operator: Good day ladies and gentlemen and welcome to the RTI Biologics Second Quarter 2010 Earnings Conference Call. At this time all participant lines are in a listen-only mode. Let we'll conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions) As a reminder, this conference call is being recorded. I would now like to turn the conference over to Ms. Wendy Crites Wacker. Please go ahead.
Wendy Crites Wacker: Good morning and thank you for joining RTI Biologics for our second quarter 2010 conference call. Today, we will hear from Brian Hutchison, Chairman and CEO, who will discuss operational highlights and future activities for the company, as well as Tom Rose, Executive Vice President and Chief Operations Officer, who will provide an overview of our financial results. Also joining us this morning for Q&A are Rob Jordheim, Executive Vice President and Chief Financial Officer, Carrie Hartill, Executive Vice President and Chief Scientific Officer and Roger Rose, Executive Vice President and Chief Commercial Officer Before we start, let me make the following disclosure about forward-looking statements. The earnings and other matters we will be discussing on this conference call will involve statements that are forward-looking. These statements are based on our management’s current expectations, but they are subject to various risks and uncertainties associated with our lines of business and with the economic environment in general. Our actual results may vary from any statements concerning our expectations about future events that are made during the course of this meeting and we make no guarantees as to the accuracy of these statements. Accordingly, we urge you to consider all information about the company and not to place undue reliance on these forward-looking statements. I'll turn the call over to Brian Hutchison.
Brian Hutchison: Thanks Webdy, good morning everyone. As many of you saw in our press release this morning, we reported quarterly revenues of $41.2 million with net income of $948,000 or $0.02 per share. Sport medicine we again our fastest growing area for the second quarter along with growth in BGS general orthopedics and domestic dental offsetting declines in spine, surgical specialties and international revenues. Our direct sport medicine business achieve record quarterly revenues of $11.5 million representing about 28% of our overall revenue this quarter. Domestic sports medicine grew by 22% which is much higher than the industry growth rate. We believe we are gaining market share due to our superior quality -- product quality, well trained director solution group and excellent customer service, as well as our demand for non-irradiated power plant sterilized implant. This past quarter our sports medicine group launched it's first surgeon education program. This events marks the Company's entrance into providing high quality education for surgeons with content focused on fresh osteochondral allografts and meniscus allograf transplant. We will be holding additional educational events in the future to train surgeon on safe and effective use of our implant to ensure the best patient outcome. We anticipate sports medicine will continue to see bulk industry growth rates in the next six months and end 2010 as our largest business. Our BGS general orthopedics revenue were up 41% for the second quarter. The growth is driven by increased distributor orders, of principally of implants introduced in 2009 to Stryker as well as increased market penetration through our direct distribution forces in both U.S. and Germany. The growth in BGS general orthopedics revenue illustrates the continued success of our direct distribution team and our ability serve as a total tissue provider to hospitals. Domestic dental revenues showed an increase of 6% over the previous year indicating further stabilization in the market. After reviewing numerous alternatives in the past year we are currently in the process of finalizing a new agreement with Zimmer Dental. Based on the foundation of this long standing relationship and the past success in the dental markets we're confident that continuing to work with Zimmer is our best opportunity to create long-term value in the dental space. We'll have more details as soon as the agreement is finalized. Our Spine revenues in the second quarter decreased 25% from Q2 2009 as a result of an inventory adjustment of about $2 million by our largest spine distributor. This is a continuation of the adjustment we saw in the first quarter and the process ended at the end of April. We’re working to strategically expand our portfolio spine distributors which will positively impact the second half of the year. Surgical specialties revenues declined 7% globally compared to second quarter 2009 due primarily to a decline in domestic hernia revenues in the quarter as the result of inventory adjustments by our distributor. The decline in Hernia offset revenue growth in all of the other areas of surgical specialties. We're working closely with our distributor to evaluate the market needs and ensure to have the appropriate mix of implants to gain additional market share. International revenues which includes exports and distribution from our German and French facilities were down 9% over Q2 2009. These decreases were directly related to lower export orders from several European countries, many of which are still suffering from poor economic condition. In addition, the strengthening dollar has negatively impacted export revenue. Last months we announced some organizational changes and welcomed a new member to our Executive Management team. Rob Jordheim, joined us as Executive Vice President and CFO from Medtronic Spine and Biologics and we're happy to have him here. His extensive experience in Life Science industry and skills in finance, business development and international business will be a great asset to our company. Tom Rose, is transitioned to Chief Operations Officer, has he's taken the lead in our optimization efforts around global operation. This is an intensive process that will be one of the foundations of our future growth and with the addition of Rob to our team as CFO, Tom will be able to give his important his full attention. Carrie Hartill is been named Executive Vice President and maintains her role of Chief Scientific Officer. She'll receive all quality assurance and regulatory affairs as well as all research and development activity. Roger Rose will serve in the newly created position of Executive Vice President and Chief Commercial Officer with responsibilities for all marketing and distribution activity. He will continue to serve as President of our Donor Services. Within these two role he will ensure meaningful connection between the donation and transplantation community. Along with me all of these officers serve as the Company's Executive Management committee. As a team we will always be all our aspects of the global company and development and implement perfect strategy. We also announced a new member of our Board of Directors in July. We'd like to formally welcome the Dean Bergy of Stryker Corporation as a Director of the Company and know that his finance and general business experience will be a great asset to our Chair Board. At this point I'll let Tom discuss the financials.
Tom Rose: Thank you, Brian. Revenues from second quarter 2010 were $41.2 million which were comparable to the prior year period. Revenues from the first half of 2010 were $79 million a decrease of 1% compared to the prior year period. Second quarter net income was $948,000 or $0.02 per share based on 55.1 million fully diluted shares outstanding. This compares to $1 million or $0.02 per share in the prior year based on 54.7 million shares outstanding. Net income for the six months was 894,000 or $0.02 per share based on 55 million fully diluted shares outstanding. This compares to net income of $2.1 million or $0.04 per share in the prior year based on 54.6 million fully diluted shares outstanding. Medicine revenues were $11.5 million for the second quarter and $21.9 million for the first half representing an increase of 14% and 11% respectively. Unit volume increased 6% for both second quarter and first half and the reminder of the increase related to changes and product mix. We continue to make progress in sports demonstrating sequential improvements aided by the focus we have given to our direct distribution effort. Spine revenues were $8.2 million for the second quarter and $14.7 million for the first half representing decreases of 25% and 29% respectively compared to the prior year period. During the quarter and six months periods, units volume decreased 26% and 30%. As Brian mentioned during the quarter and six months period spine revenues were negatively impacted by the distributor adjustments or approximately $2 million and $6 million respectively. General revenues were $7.3 million in second quarter were comparable to the prior year period. General revenues were $14.3 million for the first half representing decrease of 2% compared to the prior year period. Surgical specialties revenues were $5.9 million in the second quarter and $12.1 million for the first half, representing a decrease of 7% and an increase of 8% respectively compared to the prior year period. Unit volumes decreased by 2% for the quarter and increased 2% for the six months period. Changes in product mix contributed to the reminder of the fluctuations in the revenues. Revenues for BGS general orthopedics was $7.2 million for the second quarter and $14.1 million for the first half representing an increases of 41% and 26% respectively. The growth with newer plants introduced in the past 18 months and the successful efforts in this area by a direct distribution networks both in U.S. and in Germany. Unit volumes increased 24% and 9% for the quarter and first half respectively. Changes in product mix contribute the reminder of the increase in levels. Gross margins for the second quarter and first half were 46% which were comparable to the prior year period. In the second quarter operating expenses totaled $17.2 million an increases of $175,000 over the prior year period. During the quarter fixed cost including in marketing, general and administrative expenses totaled approximately $10.1 million representing a 6% decrease compared to the prior year period. Variable incentive compensation was $300,000 during the quarter and variable distributor commissions totaled $4.5 million representing an increase of 13% in variable cost compared to the prior year period. The increase in commissions is result of increased sports medicine revenues, a change in mix of domestic versus international and additional BGS general orthopedics revenues distributed directly. Lastly, our tax rate for the quarter was 39% compared to 35% in the prior year period. The increase was primary the result of research and experimentation tax credits being recognized in the prior year period with no comparable credits being recognized in the current period. Hopefully as is prior years, we will see an annual role of this tax credit in subsequent quarters. Our credit for the full year 2009 was approximately $600,000 and we'd expect to see a similar credit for this year with the credits is removed. When given the balance sheet at the end of the quarter compared to December 31, 2009 and cash flow for the first half of 2010 please note the following; Our cash position at the end of the quarter was $17.7 million compared to $17.4 million at December 31, 2009. Accounts receivable decreased to $19 million as compared to $22.2 million at December 31, 2009. Day sales outstanding were 42 at the end of the quarter compared to 49 at the end of 2009. We have proceeds from a decrease in accounts receivable and another cash from operations to pay down accounts payable include expenses by $2.9 million and bank debt by $3.2 million during the first six months. Inventories decreased by $3.1 million to $90.8 million compared to $93.9 million at December 31, 2009. We are in target for anticipating a total debt receivable by $7 million. For the six months period our cost should decrease $772,000 to $26.2 million initial process decrease $6.5 million to $34.3 million and accountable warrant issue increase $4 million to $28.6 million. A portion of the increase in finished goods related to inventory needs during our semi-annual plant maintains shutdown in early July. As we indicated in our press release, we recently renewed our U.S. bank lines of credit. In the renewal we increased our eligible borrowings by $10 million. In closing we're feeling very good about our liquidity position and our ability to generate cash in 2010 from operating goals for the year. I'll now turn the call back over to Brian.
Brian Hutchison: Thanks Tom. In our press release this morning we lowered our expectation for revenues by $3 million due to the lower FX rates we're experiencing versus our original expectations. As such, we now forecast full year revenues for 2010 to be between $171.5 million and $174.5 million while still maintaining our EPS guidance of $0.15 to $0.17, based on 55 million fully diluted shares outstanding. As we stated in last quarters calls, our forecast for the year anticipates stronger revenues in the second half of the year as we begin seeing revenue growth primarily from stronger order from our distributors and continued strong performance in sports medicine and BGS general orthopedics. Based on our current orders we believe we will see year-over-year growth rates for Q3 2010 as follows; sports medicine with an increase of 12% to 15% due to continued strength of our direct distribution force and demand for bioclen sterilized implacts in this markets. Combined with a decrease of 12% to 15% due to product launch delays and further inventory adjustments from our distributors. Dental with an increase of 1% to 3% due to an increase in electro procedures especially in U.S. Surgical specialties with a decrease of 15% to 18% due a shift in the hernia market toward Zimmer graph implants and inventory adjustments. And finally BGS GO with an increase of 8% to 11% again due to the strength of our direct force and our ability to move these ortho-bologic implants. As in the previous year the growth rates in our various product lines are different than we expected when we first provided guidance. However the diversity of our business will once again allows us to meet our overall goals for the year.  At this time let's open up to questions.
Operator: Thank you. (Operator Instructions) I showing our first question is from Bill Plovanic with Canaccord. Go ahead please.
Bill Plovanic - Canaccord Genuity: Good morning.
Brian Hutchison: Good morning, Bill.
Tom Rose: Good morning, Bill.
Bill Plovanic - Canaccord Genuity: Just can you clarify the year-over-year growth? You were going pretty fast there. Just on the surgical specialties, was that up or down year-over-year?
Brian Hutchison: For Q3 it's going to be down.
Bill Plovanic - Canaccord Genuity: Okay. And then 15% to 18%, did I get that correctly?
Brian Hutchison: Yes.
Bill Plovanic - Canaccord Genuity: I have to do the math to figure out what that revenue range is. Can you tell us what that is, to save me a couple of minutes here? 
Brian Hutchison: Tom's going to have to fully search out.
Bill Plovanic - Canaccord Genuity: And then the next question is on the dental guidance, up 1% to 3%. Does that include any potential changes to the Zimmer contract?
Brian Hutchison: No it doest not.
Bill Plovanic - Canaccord Genuity: Okay. And then what gives you confidence at this point, you are reaffirming your full-year EPS guidance. You're going to have to get $0.13 in earnings in the back half of the year. What gives you confidence that you're going to be able to do that?
Brian Hutchison: Well Bill at this stage it is a combination of things. One it is the orders and the projections we have from our customers for the second half of the year. The year revenues are significantly higher. And the second component of that is the leverage we get from all the work that Tom's been doing in operations and what it should do to gross margins. Those two things combined with continued diligence in our operating cost the things that we can control give us the confidence.
Bill Plovanic - Canaccord Genuity: And in terms of the operating, has a lot of those strategies already been implemented that you're well on your way and $0.13 in the back half of the year, means it going to be something like $0.05 and $0.08 or something, or is it really going to be back end loaded to the fourth quarter? How should we think about that?
Tom Rose: As far as the operation efficiencies they are plugged in, we're not seeing those plugged gross margins because of low productions levels in Q1 and Q2. But they are significant and they'll have a significant impact our margins in Q3 and Q4. I think the key of given the Q3 guidance range that numbers that we gave you basically a range of about $41 million to $42 million. So you can see that we're expecting a very strong Q4.
Bill Plovanic - Canaccord Genuity: Okay. That is all I had. Thanks.
Operator: Thank you. Our next question is from Shawn Bevac with SSP. Go ahead please.
Shawn Bevac - Susquehanna Financial Group: Good morning, guys.
Brian Hutchison: Good morning, Shawn.
Shawn Bevac - Susquehanna Financial Group: A question on the dental. I know you probably can't give a lot of details about the contract that you announced with Zimmer. But I know you had a lot of interest from other parties, and you had potentially thought about going direct yourself. And I am just wondering what changed those things? Did Zimmer strong arm you somehow? I am just curious as to why those other options didn't pan out?
Brian Hutchison: Well, we can't really get into any discussion until we finalize the situation. I can tell you that we spend a year at this. We've evaluated a lots of different options for many-many months. And we concluded that the deal we're working on is the best deal for our RTI for the long-term. And other than that I can't really give you any information until it's done.
Shawn Bevac - Susquehanna Financial Group: Okay. And then going back to Bill's questions on the EPS for the rest of the year. I know you said in the past that your gross margins are typically -- when you get revs per quarter above $42 million, your gross margin is going to approach 50%. In the back half of the year, I would assume that the revenue each quarter is going to be well above that. So should we see a 400 to 500 basis points improvement in the gross margin for the rest of year?
Tom Rose: As you look at the second half of the year in total you got -- those are about the amounts of improvements that you're going to see.
Shawn Bevac - Susquehanna Financial Group: Okay, great. Thank you.
Operator: Thank you. Our next question is from Matt Dolan with Roth Capital Partners. Go ahead please.
Matt Dolan - Roth Capital Partners: Good morning, guys.
Brian Hutchison: Good morning, Matt.
Matt Dolan - Roth Capital Partners: Maybe a little more detail on the guidance Brian if I plug in the growth numbers by category you gave us and Tom gave the little the range there. But getting to 50 million in Q4 or exceeding 50 million in order to hit your revenue guidance for the year, as you look at some of these ordering patterns, what areas, what business segments in particular should we look for really accelerating sequentially in Q4 to get you there? Is there a category specifically we're targeting? Or I don't know, how do you get more confidence in exceeding a $50 million number in Q4?
Brian Hutchison: We all have to get better math for to work. We didn't give any specifics, but they all across the board all the once that are down in Q3 have to up in Q4 for us to achieve that because we can't -- we're not going to get enough from sports and bone graph substitutes to get to that $50 million numbers. So clearly we need to find to have a big Q4 and we need dental continue to be strong. And that does assume the current business model for anything that -- if that changes with our announcement we'll certainly clarify that at the right time. And certainly surgical specialties, we do know that it already has added some 50 sales reps in that area and we do know they are not fully functional as far as we are concerned at this point in time yet. So we believe that that will come on and we have confidence that our order buying in Q4 do substantially pick-up from where they are right now.
Matt Dolan - Roth Capital Partners: Okay. So it is based on qualitative conversations with your partners, is that fair to say?
Brian Hutchison: That is fair.
Matt Dolan - Roth Capital Partners: Okay. And then following on the Zimmer conversation, is it safe to assume since you have decided to stick with them, that the terms will be more favorable for RTI?
Brian Hutchison: That's in one of our goals stated goals from the beginning was that we needed more favorable terms for the long-term for RTI and when we're all set and done I would expect to report favorably on that goal. But beyond that I really can't give you any details. 
Matt Dolan - Roth Capital Partners: Okay. That is fair. And then finally on the direct sales side, sports, looks like it will continue to grow nicely. Can you talk about the contribution you started to see on the BGS Ortho side through your direct efforts?
Brian Hutchison: We are seeing significant opportunities to train and engage our distribution group, our direct group in conversation. We are having good opportunities to present our solutions to hospitals and I would say overall it's working very well. I'll ask Roger to add a comment or two on top of that one.
Roger Rose: Good morning, Matt. We don’t want to dilute the efforts of our direct group from a sports standpoint. But of course for the second half of this year we're going to add some additional people that will be solely focused on bringing out substitutes in general orthopedics issues in an ability to leverage some of the relationships that we have in key, for teaching institutions and large healthcare entities. We think that there is an opportunity to lock up business beyond just sports in some of the accounts that we have. And as I mentioned we're going to drop in about eight people over the second half of this year and then we'll probably expand that in the future.
Matt Dolan - Roth Capital Partners: Okay. So any of the traction that you have seen in BGS Ortho so far has been so far from your distribution partners, not from the direct group, is that right?
Brian Hutchison: It has been from our direct group. But the gains that we've seen have been small and that's why we're investing in the area because we think there is good opportunity here. 
Matt Dolan - Roth Capital Partners: Okay. Great. Thanks, guys. 
Operator: Thank you. Our next question is from Jayson Bedford with Raymond James. Go ahead please.
Jayson Bedford - Raymond James & Associates: Good morning guys, and thanks for taking the questions.
Brian Hutchison: Good morning, Jayson.
Tom Rose: Jayson.
Jayson Bedford - Raymond James & Associates: Good morning. Just a couple. On the gross margin side, just shy of 46%. Was that clean? Were there any inventory write-offs there? And then just kind of looking at the potential for improvement in the back half of the year. What really drives that? It sounds like Q3 on the top line will be somewhat similar to Q2?
Brian Hutchison: Sure. Well the there wasn't anything unusual in the quarter right-off of that nature, Jayson. The key for both Q1 and Q2 to reduce our inventories which is one of our goals while having very soft top-line. We had to slow down production substantially to hit out revenue numbers for Q3 and Q4 we have to ramp-up production in Q3 to basically level the product between Q3 and Q4. So we're going to see the -- even if the revenues come in at the ranges we say out you will probably going see an increase in inventories in Q3 to support the Q4 volumes. So we're going to see a positive impact on gross margins both Q3 and Q4. 
Jayson Bedford - Raymond James & Associates: Okay. And, Tom, I am looking through my notes here. I thought you said that inventory would come down by $7 million year-over-year. Are we using the $94 million that you ended 2009 with? What's the base.
Tom Rose: Yeah. We are using that measure so that gets us into the high 80s as we leave this year. And as I just mentioned we're probably going to see a small inventory increase in Q3 and then we'll see another reduction in Q4.
Jayson Bedford - Raymond James & Associates: Okay. Okay. Thanks. And then on the dental contract, I know you don't want to get into too many details here. But is it fair to assume the change in the contract won't really have much of an impact on the top line, but will be more beneficial to the bottom line?
Brian Hutchison: I can't really address those, the structure of the situation yet. But as we said our goal would improve economics which we interpret to mean bottom-line.
Jayson Bedford - Raymond James & Associates: Okay. Thanks. Then just lastly from me, in your prepared comments, you talked about spine, and kind of working strategically to expand distribution. And I am just wondering in your guidance, have you contemplated adding new distributors? Thanks.
Brian Hutchison: Yes, we've contemplated two new distributors both are very close at this stage.
Jayson Bedford - Raymond James & Associates: And is there typically going to be stocking orders associated with that, and that is what helps the fourth quarter?
Brian Hutchison: Yes.
Jayson Bedford - Raymond James & Associates: Okay. Thank you.
Operator: Thank you. Our next question is from Ray Myers with Benchmark Company. Go ahead please.
Ray Myers - The Benchmark Company: Thank you, good morning.
Brian Hutchison: Good morning, Ray.
Ray Myers - The Benchmark Company: First, I wanted to ask about the bone growth substitutes and the orthopedic strength. That business was very strong in the quarter. I wanted to get a little more granularity as to whether that was due to some one-time factors, and how sustainable that is into the second half?
Tom Rose: I think as we touched on earlier, a significant portion of the growth had to do and as I mentioned my comments, new products that we've issued in the last 18 months in the bone growth substitutes area for Zimmer and Stryker. And that's driving a fair amount of the growth. And the second component is the success of our own sales group both here and in Germany. As we focus on Q3 and Q4, we see that growth slowing down. And we see retain that current level but just less levels of growth, Ray.
Ray Myers - The Benchmark Company: And were those stocking orders from Zimmer and Stryker?
Tom Rose: They were not.
Ray Myers - The Benchmark Company: Okay.
Tom Rose: So again, half the growth probably from distributors and half the growth impacted by none -- but we do have a direct sales force in Germany too.
Ray Myers - The Benchmark Company: Excellent. And did you say how many direct sales reps you have currently?
Brian Hutchison: No we haven't. We're approaching 40 at the moment and to Rogers comments earlier we're going to add as we end this year.
Ray Myers - The Benchmark Company: You will add eight more before year-end?
Brian Hutchison: We should end up north of 45 by December time this year, correct. That's just U.S.
Ray Myers - The Benchmark Company: Great. And let's go back to spine. The orders from your largest customer, did they normalize in May as you expected, and what did that do to your spine business in the second half? Yes, they did normalize and we do expect we'll report our performance will mirror what their end market performance is. I think the only once that are not reported yet for the most recent quarter and I'm not sure what they are going to report. We'll have watch and see what happens here. But we do expect that we'll trend with them the rest of this year.
Ray Myers - The Benchmark Company: Okay. So we will hope for those two other distributors to do well. And the dental business, can you give us any more color as to whether, in your discussions with Zimmer, you anticipate that any changes in your contract, would those be incrementally favorable or unfavorable?
Brian Hutchison: This is going to be a new contract. So other than that I can't really give you any information right now, being appropriate.
Ray Myers - The Benchmark Company: Okay. Well, thank you and good luck.
Brian Hutchison: Thanks.
Operator: Thank you. Our next question is a follow-up from Bill Plovanic with Canaccord. Go ahead please.
Bill Plovanic - Canaccord Genuity: Actually my question was answered. Thanks.
Brian Hutchison: Thanks Bill.
Operator: Thank you. I am showing no further question at this time. I would now like to turn it back to Brian Hutchison for any closing remarks.
Brian Hutchison: Thank you all for joining us this morning. We hope to see many of you as we present at the Canaccord Adams conference in Boston in next week or at the UBS or JMP conferences in New York in September. You could find more information about these meeting on our website or by contacting our Investor Relations department. Thank you.
Operator: Ladies and gentlemen thank you for your participation. That concludes the conference. You may disconnect and have wonderful day.